Operator: Good morning, everyone, and welcome to the Pinnacle Financial Partners Quarter 2025 Earnings Conference Call. Hosting the call today from Pinnacle Financial Partners is Mr. Terry Turner, Chief Executive Officer; and Mr. Harold Carpenter, Chief Financial Officer. Please note, Pinnacle's earnings release and this morning's presentation are available on the Investor Relations page of their website at www.pnfp.com. Today's call is being recorded and will be available for replay on Pinnacle Financial's website for the next 90 days. At this time, all participants have been placed on a listen-only mode. The floor will be open for your questions following the presentation. [Operator Instructions] During this presentation, we may make comments that may constitute forward-looking statements. All forward-looking statements are subject to risks, uncertainties and other facts that may cause the actual results, performance or achievements of Pinnacle Financial to differ materially from any results expressed or implied by such forward-looking statements. Many of such factors are beyond Pinnacle Financial's ability to control or predict, and listeners are cautioned not to put undue reliance on such forward-looking statements. A more detailed description of these and other risks is contained in Pinnacle Financial's annual report on Form 10-K for the year ended December 31, 2024, and its subsequently filed quarterly reports. Pinnacle Financial disclaims any obligation to update or revise any forward-looking statements contained in this presentation, whether as a result of new information, future events or otherwise. In addition, these remarks may include certain non-GAAP financial measures as defined by SEC Regulation G. A presentation of the most directly comparable GAAP financial measures and a reconciliation of the non-GAAP measures to the comparable GAAP measures will be made available on Pinnacle Financial's website at www.pnfp.com. With that, I'm now going to turn the presentation over to Mr. Terry Turner, Pinnacle's President and CEO.
Terry Turner: Thank you, Matt. Good morning. Well, I know it's not news to anyone on this call this morning that we're living at a time of unusual volatility and periods of volatility generally have the impact of slowing economic growth and damage and bank performance. But irrespective of the environment, as most of you know, at Pinnacle, we've got a relentless focus on producing shareholder value. It's why we begin every call with this shareholder value dashboard, GAAP measures first, then quickly to the adjusted numbers to give you the best insight into how we see the numbers and how we manage the firm. Anyone that has ever listened to these calls knows and expects that I'm going to particularly highlight revenue growth, EPS growth and tangible book value per share growth, the three metrics that we believe are most highly correlated with long-term shareholder returns. As you can see here regarding revenue growth, first quarter '25 was another great quarter, continuing the double-digit trajectory, not only have we had a 10.1% CAGR over the last four years, but a 14.2% growth rate, first quarter '25 over first quarter '24. The industry had a two-year downdraft on EPS for a number of reasons, including limited loan demand and a downward slope yield curve. Despite that difficult operating environment, you can see here that our adjusted EPS grew 24.2% first quarter '25 over first quarter '24. And lastly, through it all, we've compounded tangible book value per share at a 10.3% rate over the last four years and 10.6% first quarter '25 over first quarter '24. So I think at least three questions come to mind about our unusual ability to grow these metrics that I believe are most highly correlated with shareholder returns, almost irrespective of the economic landscape. Number one, how do we grow so reliably when the industry appears do not? Number two, is it a high-risk strategy? And number three, is it sustainable? The answer to all three of those is centered in our hedgehog strategy, which is to continuously attract the best bankers in the market and to enable them to consolidate their books of business from where they were to Pinnacle. We run a continuous recruitment cycle for revenue producers, which is different from most competitors and peers, who generally constrain the hiring of revenue producers in an attempt to constrain non-interest expense growth. We are always recruiting and hiring the best bankers in our market, not just when we have an opening. And why wouldn't you, the profit leverage on even an average producer is extraordinary. Another critical distinction in our model is that we don't hire these revenue producers if they're circulating a resume or they come in to fill out an application. Our assumption is that they're either unhappy or unsuccessful and therefore, not a target for us. We don't use headhunters to hire these revenue producers. They tend to produce talent that top from job to job for the next best offer. In general, the only way of revenue producer will be hired at Pinnacle, is that a current Pinnacle associate says, first of all, I've worked with them before and they're good at what they do. And secondly, that they share our values, they'll fit. This distinct recruitment model provide insight into both how we're able to hire so many, and how we consistently get outsized performance from those that we hire. I've used this call in the past to highlight how all of this bears on growth. And so I don't want to do that in detail on this call. But as a quick reminder, at a very high level, you might think about it this way. We hired a large number of highly experienced revenue producers every year. On average, it takes them roughly four years to consolidate their clients to Pinnacle and the growth comes in on a roughly straight-line basis. This is a market share takeaway strategy that's not meaningfully reliant on economic growth. As new RMs consolidate their long-standing clients to Pinnacle over that roughly four year period, it forms an embedded level of growth in clients and balance sheet volumes, which are almost entirely removed from economic growth rates. As you can see here, that ability to attract revenue producers has been successful in our legacy footprint, in our areas of specialization that we've added over the years and in de novo market extensions. Last year, we set a new firm record for the number of highly experienced revenue producers that joined our firm, and we're on a similar track for this year, 37 revenue producers in first quarter of '24 versus 33% first quarter '25. Revenue producers that have been with our firm less than three years accounted for all of our growth in first quarter '25. The same was true for all of '24. It only makes sense to me that in periods of lower no economic loan demand, relationship managers with large books will be lucky to originate enough volume to just cover their amortization. Generally, the bigger the book, the bigger the headwind. Additionally, in our case, specifically, we made a strategic choice roughly two years ago to lower our concentration in commercial real estate, which has also served as a drag on the legacy markets. But net-net, this ability to continuously attract highly experienced lenders and enable them to consolidate the clients to Pinnacle answers the question how we grow so reliably. Is it safe? We believe our track record demonstrates that it is, the average years of experience for the associates when we hire them is 18 years. So if you think about it, when you hire revenue producers that may have been handling clients nearly two decades, two things happen. Number one, you get rapid growth. You'd fully expect that the rate at which they bring loan volumes will be substantially faster than RMs that you give a Dun & Brad (ph) list of prospects to and ask them to go meet someone to loan money. And in general, number two, you get great loan quality. It's the opposite adverse selection. They're bringing their clients with whom they’re well familiar. They leave criticized and classified loans behind bringing only their best clients, again, substantially less risky than given my Dun & Brad list of prospects which is what most banks do. So this model not only produces rapid and remarkably reliable growth, but high quality growth as well. These charts serve as a further demonstration of the reliability of our growth, almost irrespective of the economic environment. On the left, from the Great Recession through 2022, our growth in total loans was nearly 3 times the U.S. commercial banks and was more than 2 times that of our peers, a remarkable difference in a period that included such catastrophes as the COVID pandemic. And on the right, you can see the quarterly year-over-year growth comparisons for total loans from first quarter '23 through fourth quarter '24, which included a liquidity crisis that literally caused some of our peers to fail. For me, this is a great illustration of how the continuous attraction of highly experienced relationship managers who consolidate their close to Pinnacle has provided something of an underlying floor for loan growth even during periods of virtually no economic loan demand. I also want to point out the chart on the right that we added a line for C&I loan growth as well. As I've already mentioned, total loans have actually endured a downdraft as we shrink our concentration in commercial real estate. So the C&I growth may be an even better illustration of the rapid and reliable growth produced by this model. And as it relates to sustainability, of course, one of the keys to talent attraction is our unique work environment. Just in the last couple of weeks, we were listed by Fortune Magazine as the ninth best workplace in America, up from number 11 last year. Many have conjectured that as we grow, we'll no longer be able to propel our culture and work environment causing the reversion to the mean for our growth rates. This year's ranking is our best yet as was the case last year, by the way, which pretty well debunked the thesis that we cannot maintain our special sauce as we grow. And of course, while the power of our ability to attract the best talent accounts for a great deal of the success that we've had, the truth is an equally important key to our success is the differentiated service level that we offer clients compared to client satisfaction with our competitors. According to Coalition Greenwich, there are 21 drivers of client satisfaction among businesses with annual sales from $1 million to $500 million. In our eight state footprint, we lead on all 21 of those drivers, every single one of them. The experience is overwhelmingly differentiated, and that feels like a sustainable competitive advantage. So without a doubt, my preference would be for a less volatile environment, as I'm sure is the case for everyone on this call. But that said, even in this more volatile environment, given how we grow, we continue to expect client and balance sheet growth for 2025, consistent with our prior guidance. With that, let me turn it over to Harold for a more detailed look at the quarter.
Harold Carpenter: Thanks, Terry. Good morning, everybody. As you may have already concluded, we've reduced the number of slides in the prepared remarks portion of the deck this morning. All of the slides I've traditionally discussed during the supplemental portion of the deck, our goal is to quicken the pace and point out the highlights and get to your questions. We'll start with loans. End-of-period loans increased 7.3% linked quarter annualized, that was about what we thought at the beginning of the quarter. As Terry mentioned, we continue to lean on our new markets and our recruits to provide the punch in loan growth for us. Again, our loan growth is not so much dependent on economic tailwinds. It's all about these great bankers we've hired and the movement of their prior relationships to us. There is a ton of uncertainty right now in the broader economy, and we've had many conversations with our relationship managers about pipeline development over the course of the next few quarters. Our clients have a lot of the same uncertainties that the rest of us are wrestling with, but appear to remain generally confident about the future, and that eventually, all of this will translate into a stronger, more resilient economy for all of us. When that will happen is certainly something folks are debating intensely. Given first quarter impact in our pipeline, we'll stay with our estimated outlook at 8% to 11% growth this year. The yield curve bounced around a lot in the first quarter and continues to do so as we begin the second quarter. But in the end, we're pleased with how our loan rates perform through the quarter. Although, the lift from fixed rate repricing is not as opportunistic as it once was, we still anticipate continued lift in fixed rate loan rates throughout this year. Deposit growth was again a real bright spot for us in the first quarter as we increased deposits by $1.6 billion in the first quarter. This is after a $1.9 billion increase last quarter. Contributing to outsized growth were our investments in our deposit verticals as well as the work of our new associates in several of our newer markets. As of 2025, we're maintaining our estimated growth rate for total deposits, at 7% to 10% for 2025. We believe this is reasonable given our performance in the first quarter. We don't anticipate similar growth in the second quarter as the second quarter may be our toughest deposit growth quarter given that we believe some run-up occurred in March 31 for taxes. We're also very pleased with how deposit pricing has performed thus far this year and how our deposit -- how both our deposit and loan betas have performed thus far through the cycle. The chart on the top right of the slide shows that during the upright cycle from the end of '21 to the end of June '24. Our loan rates increased with a 59% beta, while over the last six months or so, as rates have come down, our loan rates have decreased with a 42% beta. All the while, our deposit beta is at 56%, which is the same as what transpired during the upgrade cycle. So far, so good for both loans and deposits. As expected, we're pleased that our NIM was flattish at 3.21%. Our outlook for the second quarter of 2025 is that we believe our NIM will remain flattish with some upward bias. As to net interest income, we are estimating a welcome lift in the second quarter given we have an additional day, but also increased volumes, which should support our estimate for more revenues. As to 2025, we believe our net interest income growth outlook will continue to approximate a range of 11% to 13% and again, the slope of the yield curve will have significant influence on how all this plays out for the remainder of this year. So what's up with rate cuts? We've modeled out many scenarios and feel we're in pretty good shape to manage through most rate forecasts that are out there in the markets today. We have constructed our base case outlook around two rate cuts for this year. If there's more rate cuts, we feel enough flexibility to modify our game plan and given rates are still elevated from just a few years ago. The ability to match off the impact from lower asset yields with similar actions on our funding base. A quick word on credit. Our net charge-offs dropped to 16 basis points in the second quarter from 24 basis points in the fourth quarter. For 2025, the current view of our charge-off outlook remains that net charge-offs for 2025 should come in around 16 basis points to 20 basis points. So no change there from last quarter. We did downgrade an apartment loan in Atlanta with around 90% to 95% occupancy, which was the reason our NPAs ticked up this quarter, that project is in process of being marketed, and we feel like we're in good shape with this $35 million loan with an anticipated loss already accounted for in the reserve. Our belief is that resolution should occur over the next couple of quarters. Our reserve did decrease 1 basis point, which we thought was possible given our position at the end of the fourth quarter and have credit continued to perform well. We still believe our reserves will remain at or near these levels for the remainder of 2025 if the economic conditions don't materially deteriorate from those we are anticipating. That said, we don't want to appear tone deaf. (ph) Our credit officers are working their portfolios, trying to understand what tariffs or a protracted trade war could do to our portfolio. We have our eye on several portfolios trying to appreciate which ones may feel more stressed perhaps more sooner than others. Our outlook for our provision to average loans remains at 24 basis points to 27 basis points for this year. We are assuming here that we don't find our way to accommodate some significant increase in forecasted unemployment like we did during COVID, only to see the impact of that reverse the next year, which could drive this range up. We do believe a modest increase in unemployment is manageable given our sensitivity analysis. As to BHG, all of the usual slides are in the supplementals for your reference. BHG had a strong quarter, providing fee revenues to us of over $20 million, which more than -- which was more than the $12.1 million in the fourth quarter and more than we have previously estimated would be the case. BHG closed its tenth ABS issuance in the first quarter for approximately $400 million. Spreads on this issuance were 12.6%, which was the strongest of any issuance for BHG. Wall Street continues to acquire BHG credit with increased appetite for its volumes. Production was strong in the first quarter. Credit was better than anticipated with past dues continue to improve. Vintage loss curves also seem to signal better days ahead. We and BHG are both comfortable in raising our earnings estimates for 2025, from 10% growth to 20% growth over 2024. Several factors are contributing to this decision, lower operating costs this year, better credit performance and stronger production lead flow along with better hit rates, all point to what could be a much stronger year for BHG. Lastly, as to our guide for 2024, we've talked about much of the information on this slide previously. Again, the investments we've made in our new markets and our hiring success are the building blocks we will lean on as we target top quartile results amongst our peers, which we believe this guide should point toward. Other than BHG, we might spend a lot of time this morning, all fees or expenses thus far. As to highlights, we continue to be pleased in our fee line. Banking fees and wealth management are performing well. We're keeping a cautious eye on wealth management, given the market performance and how that might impact our revenue targets this year, but feel like currently, the range provided is reasonable. As the chart indicates, we remain comfortable with an 8% to 10% growth rate in fees inclusive of BHG's increased to 20% growth this year. We also restructured about $189 million of our investment securities at a loss of approximately $12.5 million. This trade met our criteria of an expected three year payback. Thus, we anticipate the restructuring should add approximately $1 million of spread revenues to us per quarter. As to expenses, our outlook does reflect the target award for our associates. And as always, should our performance warrant, we will increase the award if our earnings support any additional incentive costs. We remain at $1.3 million to $1.15 million as estimated expenses for this year. As the tariff discussion plays out, as the recession discussion plays out, as the yield curve and rate cut discussions play out, we are hopeful that more clarity will come forth. But as it sits today, we remain optimistic about our prospects for this year and are confident that 2025 should be another strong year for Pinnacle. With that, I will send it back to Matt for Q&A.
Operator: Thank you, Mr. Turner. Everyone, the floor is now open for your questions. [Operator Instructions] Your first question is coming from Jared Shaw from Barclays Capital. Your line is live.
Jared Shaw: Hey. Good morning, guys.
Terry Turner: Good morning.
Harold Carpenter: Hi, Jared.
Jared Shaw: Hey. So maybe just the first, I appreciate the discussion around the uncertainty here. Did you change the baseline assumption under CECL? For calculating the reserves, if you go to an adverse scenario or are you just keeping it unchanged?
Harold Carpenter: We kept it unchanged, but we used the adverse scenario to kind of influence where a lot of our qualitative assumptions go. So -- but no, we did keep it the same with the baseline.
Jared Shaw: Okay. And then on BHG, that's great, great quarter there with the securitization. It feels like the securitization market is a little locked up right now. Is that growth or that higher target dependent on continued securitizations or is there flexibility there that they can hold more through the -- or they can place more through the bank sale channel?
Harold Carpenter: Well, I think they have plenty of room through the bank channel. I think they do believe that there's another ABS issuance towards the end of the year that they're planning for. But at the end of the day, they've got capacity and liquidity in the bank channel to place their credits.
Jared Shaw: Okay. And then just on the other fees, sort of, what -- where are we seeing the most offset to that higher BHG target, is that in sort of the other or other equity investments or where...
Harold Carpenter: I think the other equity investments has given us some pause that traditionally, we’ve gotten quite a bit of punch out of there that we probably need to back off on for the rest of the year, and I think BHG is going to help us offset that.
Jared Shaw: Okay. Great. Thanks a lot. I’ll step back.
Harold Carpenter: Thanks, Jared.
Operator: Thank you. Your next question is coming from Ben Gerlinger from Citi. Your line is live.
Ben Gerlinger: Hi. good morning, guys.
Terry Turner: Good morning, Ben.
Harold Carpenter: Hi, Ben.
Ben Gerlinger: So when you guys move into the full year guide unchanged for loan and deposits, well, first, congrats on a strong start to the year. I think, Harold, you said that deposits could slow a little bit here in 2Q. I think you said you cited tax reasons. I'm just trying to think of like 1Q had really strong loan growth and even stronger deposit growth. Do you think that will flip in 2Q or just kind of a seasonality or is it pricing you're willing to let some walk away? I get the loan side is strong because of bankers added over time and the flywheel you guys created over 20 years. So that makes sense to me. I'm just trying to think like fits and starts, you're expecting on the deposit side.
Harold Carpenter: Yeah. Traditionally, April has been a tough month as far as deposit growth is concerned even for a commercial firm like ours. So we just -- we're hedging our bet a little bit from that perspective. And we do have, we believe, some advantage when it comes to deposit pricing given the growth of last two quarter that we don't have to be nearly as front-footed on making sure we get the growth here into the -- in the second quarter. As the loans, we feel like that there is enough pipeline there for us to see similar growth in loans in the second quarter, if not just a tad more. And hopefully, it will -- that will transpire. Did I get to your question, okay, Ben?
Ben Gerlinger: Yeah. That was helpful. And then just kind of thinking about loans and the pricing component of them relative to potential payoffs, like, we've seen the yield curve be pretty crazy over day-to-day range so far this month? So I don't necessarily think there's a lot of payoff potential. But if we see the middle of the bell of the curve come in, a little bit like a five year, do you think there's potential payoff headwinds in CRE and you still feel comfortable with the current range in that kind of scenario? I'm just trying to think through -- you guys have been more C&I growth lately to reset the industry or should have, but legacy products are also terming out a little bit here, too. So people might get the bid if there is a refinance opportunity.
Harold Carpenter: Yeah. First off, you're right. If the five year does come in or the three year, that's where most of these loans are. So true, we could see some prepayments coming back to us. But hopefully, these clients will give us the opportunity to meet or at least stay in the game with them. So we're not as concerned about the volume aspect of it as perhaps maybe the pricing aspect of it.
Ben Gerlinger: Got you. And if I could sneak one more in. BHG, it seems like it's an improvement relative to what it might have been 90 days ago. Has the family or are you guys changed any thoughts on the stake of ownership?
Harold Carpenter: No, I think we're still in the same position we've been in as far as our 49%. Our partnership is strong with Al and Eric and his senior management group. So we're in good shape with BHG right now. There's a lot of optimism around that firm. And I think they believe that what's transpired with the '21 and '22 vintages is hopefully in the rearview mirror.
Ben Gerlinger: Appreciate it. Thanks, guys.
Harold Carpenter: All right.
Terry Turner: Thanks, Ben.
Operator: Thank you. Your next question is coming from Catherine Mealor from KBW. Your line is live.
Catherine Mealor: Thanks. Good morning.
Terry Turner: Good morning, Catherine.
Catherine Mealor: Apologies if you addressed this in your prepared remarks, but I just was curious if you could talk a little bit about Slide 20, which is the lines of credit that you give per loan type and just how you would expect those to move as we move through the year?
Harold Carpenter: Yeah. I'll start, and I'll let Terry kind of finish on that. I believe our basically the way our clients approach lines of credit. And we saw a pretty big uptick in lines of credit in the first quarter, is that they will try to keep the -- and I'm talking about C&I and non-owner occupied commercial real estate primarily is they'll try to pretty much hang with about a 50% kind of usage rate, and they always like that number. So if a firm is going to grow, they're probably going to come back to us. And rather than just increase the usage amount of their line, they'll probably come back and just increase the line. Now what's going on, we've reopened on construction. And so we should see some more increases there with lines of credit provided rates remain in an acceptable place, particularly around the five year and the 10-year.
Catherine Mealor: Great. So really, the growth outlook that you have isn't -- there doesn't seem to be a change necessarily in how you're thinking about lines of credit. It's still customer -- bringing new customers over ramping up your new markets, your new revenue producers and it's all just still market share -- base line of credit change.
Terry Turner: Yeah. I think that's accurate. To Harold's point, the biggest component, you sort of got two components that work a little differently on CRE, and he talked about that the other C&I. Generally on C&I financing your financing working assets. And so, what has to happen there is you have to start driving up the revenues and increase in inventories and receivables and those kinds of things. And so for me, at this point, it would be hard to say, okay, well, I feel like there's something I can identify here where that's going to be a lot better or a lot worse. And so again, Harold made the point. We'll be watching all these variables as we go forward. We'll get more information. But today, our belief about our growth, and really, I think what's an important thing that I want to get communicated was, look, what we're going to do is, move market share and add clients, which ought to get us into the range of the growth that we said if we get other economic growth, we'll do better.
Catherine Mealor: Got it. That makes sense. And then, on the margin outlook, I know originally, you had talked about the margin being a little bit more stable in the first half of the year and then expanding in the second half of the year as we get some cuts. Can you just talk a little bit about kind of sensitivity to that with the rate environment? It feels like you're a little bit more neutral today than you have been and cost your ability to lower deposit costs has been really great. But just kind of curious if there's a little bit more risk to that back half of the year, expansion in the margin.
Harold Carpenter: Yeah. I think there's more risk primarily because just we don't know what's going to happen, so give us that. But the way our sensitivity works out as long as we're, call it, two rate cuts, give me a range of one to four, we're in really good shape for '25, and we think we can manage it in '26 as well. We still got elevation in deposit rates that we can work through to kind of recapture what we're going to lose on the earning asset side. But what's more important to us is just the yield curve itself and just trying to figure out how to get to a flattish to maybe a slightly steepening yield curve. If we go back to an inverted curve that say was around for the last two to three years, then that’s a more difficult assertion for us.
Catherine Mealor: Makes sense. Okay. Great. Thanks. Great quarter.
Terry Turner: Thanks, Catherine.
Operator: Thank you. Your next question is coming from Timur Braziler from Wells Fargo. Your line is live.
Timur Braziler: Hi. Good morning.
Terry Turner: Good morning. Hi, Timur.
Timur Braziler: Rounding out the growth conversation, I guess, and what type of an environment might the RM consolidation story not play out or in what type of environment might you not want to take on those types of those loans? And I guess just from where you're seeing today versus just a couple of months ago. What are you seeing from the borrower side? And what is the internal appetite to continue growing the balance sheet to some of this uncertainty?
Terry Turner: Yeah. Timur, I think, the way I would go at this is, I use that phrase, hedgehog strategy. This is what we do. This is what we've done for 25 years is go attract the best bankers in the market, get them to consolidate their book of business from where it is to us, that's a wildly different approach than just hiring people and giving them a Dun and Brad list. It's a wildly different approach in hiring trainees. It's a wildly different approach than using head owners to hire people, you don't know. We're hiring people that for the most part, somebody in this company has said, I worked with them before, they're good and they share our values. And so that's what gives us such a high execution rate on having these successful people move their books of business. My own belief, any time you're growing as rapidly as we are, I think Dick Kovacevich (ph) well said, hey, if it's growing like a weed, it is one. And so, you have to get down to, so how do you produce this growth and not worry so much about the asset quality. And the way that works is when you're hiring people who have 18 years' experience, they move a book of business, they're well familiar with. They leave criticized and classified assets behind, and they move only their best clients. And so my belief is that is a substantially less risky approach than what many banks are doing that are producing 2%, 3% growth rates because whatever growth they're getting, they're getting it by sending people out calling on folks that don't know trying to meet somebody to loan money to and so forth, which I think is a substantially higher risk. So all that said, I'll just try to give you the case for why we continue to be bullish on our ability to attract people and why we believe that we can grow assets at that rate and do it in a safe -- do it in a safe way. So I guess the bottom line all that is, it's hard for me to imagine a time, when we wouldn't want to hire a high producing relationship manager, that's what we've done for 25 years.
Timur Braziler: Great. Thanks. Maybe switching to BHG. I know it's only been 15 days in the new quarter, but a lot has changed. I'm just wondering what the demand is for that paper for the partner banks? Has there been a marked kind of stepping away from some of that demand subsequent liberation day or is the origination activity that we saw in 1Q pretty indicative for the type of activity you're expecting here more so in the near term?
Harold Carpenter: Based on my last conversations with them, which was probably a week ago on that topic. Their deal flow is still strong. The banks are anxious to buy paper from BHG and they have to be creative, I'll use that word, on making sure that they meet the bank's demands as well as the demands for some of their institutional buyers, so call it, Main Street and Wall Street. But right now, they're not having any issues placing their debt through the bank channel. And they've got plenty of volume requests from the Wall Street channel as well. Now that's not the ABS Wall Street, that's just some of the large institutional buyers just showing up saying, hey, I want $100 million.
Timur Braziler: Yeah. Okay. And then just last for me, the timing of the bond restructure.
Harold Carpenter: It was in the last two weeks of the quarter.
Timur Braziler: Great.
Harold Carpenter: Yeah. It's very little impact to the first quarter, Timur. Thank you.
Timur Braziler: Thanks.
Operator: Thank you. Your next question is coming from Michael Rose from Raymond James. Your line is live.
Michael Rose: Hey. Good morning, guys. Thanks for taking my questions. Just wanted to start on, I think, in the prepared remarks, you talked about some portfolios you'd be doing some work on to kind of assess the impacts of the tariffs. Sorry, if I missed it, but can you just describe what are the first areas of focus for you guys and how encompassing this review would be? Thanks.
Harold Carpenter: Yeah. We've had a lot of questions with credit officers and relationship managers about tariffs and trade wars and that like. Right now, the credit officers are focused on trucking, they’re focused on multi-family. They're focused on leverage lending. They're looking at all those clients in all those various areas and just making sure that we're in a good spot. Feel like that the truckers are probably going to be the most stressed right now because -- just because of the supply chain impact that they have. And right now, so far so good as what we're feeling as a bank, banking those particular trucking firms, but we've got our eye out on them, so.
Michael Rose: Okay. And then if there's any sort of, the longer this goes on, right, the more pressure there would be. So there could be potentially some reserve build perhaps related to that, if things continue, I would assume?
Harold Carpenter: Yeah. I'm sure that will all translate into unemployment and GDP, and that will require us to build reserves for sure. And keep in mind, like, what happened in COVID, that will mean we'll have to probably reassess our incentive payouts and all of that as well to help counter some of that.
Michael Rose: Okay. Perfect. And then thanks for all the -- I appreciate all the color on Slide 10 on the betas, both on the loan and deposit side. I think you mentioned that you have some ability to continue to lower cost. Can you just be more specific around that in terms of how much? I'm sorry if I missed it in the slides, what's coming up for renewal this year? The CD percentage is around 10% is the room for that to come down? Just some greater color on kind of beta expectations as you move forward. I know it's hard with the fourth curve moving every day, but just any help would be great. Thanks.
Harold Carpenter: Yeah. Substantially, all of our CD book is going to be 12 months or less. We've got some broker deposits that are a little bit longer out there that we help manage interest rate risk on, but substantially all of it is going to be within 12 months. so we'll lean on that. But I've also got more than 50% of my other deposit categories are in indexed to the Fed funds rate. So -- and right now, we're very intentional about making sure we go dollar for dollar with respect to a rate cut. And that's how we're going to do it, Michael, as we believe there's a rate cut coming, we're going to start softening the dirt with our relationship managers to make sure they understand that it's coming, and we need to be prepared to lower these rates with our depositors.
Michael Rose: Okay. Great. Maybe just final one for me. In the release, you mentioned may be pursuing other geographies for expansion. I know you've successfully obviously gone to Atlanta, Jacksonville, the D.C. market. But it read that maybe that could be an option, maybe I'm reading into it but nearer term. But just give us any thoughts around -- I know you talked about Florida before, just some other markets that would be of interest to you. And is that where you plan to be opportunistic at the -- just markets should be interested. Thanks.
Terry Turner: Yeah. I think, Michael, you've heard this so many times. I think our target market is in the Southeast. We want to be in all the large urban markets. The voids that exist today are primarily in Florida, we're in Jacksonville, but south of Jacksonville, we’re not. And then as you head up the East Coast, there are some other markets that sort of would be attractive to us, albeit less attractive than some markets like Atlanta and D.C. and some that you mentioned there. Those would include places like Columbia, South Carolina, which is Capital South Carolina, it's a little less large and a little less growth than some, but it would be an attractive market Richmond, Virginia, Tidewater Area Virginia, those are all places that we have opportunities. The catalyst for when we go is only when we have a team that we think can build us a large bank. We're not going somewhere because we've studied census tracks or demographics or psychographics or any of that stuff, we simply go to those markets that you and I know were attractive when we have a group of people that we believe can build us a large bank. And that means they have the stature to hire a large number of people and higher across multiple disciplines and all those kinds of things. So if those people came available today, we would go if they come available in six months, we'll go then two years, we'll go then. If they never come available, that's okay. We intend to produce outsized growth in our existing footprint. So the opportunity is really when the talent becomes available.
Michael Rose: Appreciate it, guys. Thanks for taking the question.
Terry Turner: Thank you.
Operator: Thank you. Your next question is coming from Casey Haire from Autonomous. Your line is live.
Casey Haire: Great. Thanks. Good morning, guys. Follow-up on the NIM sort of loan yields. Just wondering, I know you guys have some Fed cuts, what you're expecting, but ex those have loan yields bottomed at this, call it, low 6% level, given the fixed rate repricing opportunities and new money yields coming on in the 6s?
Harold Carpenter: Yeah. Well, if we -- our forecast would say that over the next two quarters, we'll get another – we’ll get some more rate cuts. So I don't think loan rates have bottomed. Hopefully, the yield curve will shape up for us that the fixed rate repricing will create the punch that we want with respect to the yield curve. So I got a feel and we'll probably see loan yields track down once we see rate cuts. And right now, the first one we got projected is in June.
Casey Haire: Right. Yeah. Okay. I mean, I was thinking more along the lines of ex cuts, like, the June cut probably in factor much into the second quarter, but okay. Understood.
Harold Carpenter: I thought you were talking about all year. Casey, I apologize. We don't think loan rates are going to -- second quarter is not going to move much.
Casey Haire: Okay. And then on the expense side of things, so you're the -- you guys don't -- you're hiring at a pretty fast clip here, right on pace with last year, which was a record year. How is that pipeline shaping up for the balance of the year and does this expense guide support that level of hiring?
Terry Turner: I think the pipeline is shaping up well. Our guidance going into the year was that we would hire a similar number of people in 2025 as we did in 2024, that's still the best estimate that I have. I believe that we hired a number like 13 thus far in the second quarter. So we'll continue to move forward just as we have said we would. And the expense guide does contemplate the hiring.
Casey Haire: Okay. Great. And just lastly on the capital front. The CET1 ratio, assume that would bleed a little bit lower given the growth outlook that you have? Just how comfortable, where would you no longer feel comfortable? What's like a floor for the CET1?
Harold Carpenter: Yeah. We've never really put a floor out there in the market. It did bleed down 10 basis points this quarter. We're not -- I'm not particularly pleased with that. I think we can engineer some things to kind of create more stability in that number so that we don't see it go down. Typically, the way our growth works here this year is about call it, $900 million in loan growth, maybe a little bit north of that should keep our risk based capital ratios pretty flat.
Casey Haire: Got you. Thank you.
Harold Carpenter: That's kind of the market, we’re using.
Operator: Thank you. Your next question is coming from Steve Scouten from Piper Sandler. Your line is live.
Stephen Scouten: Yeah. Good morning. Thanks, guys. So thinking about kind of deposit growth a little bit. I think to me, you guys have always grown loans fantastically, but the strength of deposit growth has really been the welcome part of the story that's been so exemplary. The 7% to 10% deposit growth I mean, I guess, is more of that weighted towards the newer markets, maybe the first part of that? And secondarily, the strength on the betas on the way down that you've had on deposits relative to loans. Do you think that's sustainable or could we have a little bit of a catch up there just as we move further down this path?
Harold Carpenter: Well, as far as the loan beta is concerned, I'm sure there's probably some acceleration that could occur with steeper rate cuts. But as we see it here over this year, we don't think that's really in the cards. We like the way our pricing metrics are working currently on the left side of the balance sheet. We fully intend on the right side of the balance sheet to be as aggressive on deposit cuts here over the next two cuts as we have been. Your point is a good one. Eventually, with deposit rates, if they get -- if we get too many rate cuts or more saying if we get down into the 150 to 200 rate cuts into the 2% Fed funds rate, then it becomes more difficult to get those rate cuts to get a higher beta on that deposit book. But again, just a few years ago, we were dealing with 25 basis points in Fed funds, and we were running close to, call it, a 3.20% margin after you factor out a lot of the liquidity that was on the balance sheet. So we're not afraid of steeper, deeper rate cuts, what we don't want to see is that inverted curve again.
Terry Turner: Steve, I think on the question about is it skewed towards -- the growth skew towards new markets and so forth, I think that's a variable. We have some markets that have done extremely well. I think Washington, D.C. is a great example, north of $2 billion in deposits in a pretty short period of time, so that's a great success story. But we have other markets that the loan growth would -- the net user of funds as opposed to a net provider fund. So it's a little mixed in terms of how those things play out. The big item that has goose -- the growth rates on deposits is all the specialty verticals that we built. I think we've mentioned those a number of times, things that have to do with escrow accounting or captive insurance companies or health and benefits, different things like that, we built eight or so specializations. And so they have really provided a good part of the growth, and we expect that to be the case for the foreseeable future.
Stephen Scouten: Got it. Fantastic color there. And then, you guys have always been just fantastic C&I loan growth has really been the focus apart from M&A has added some CRE in there. But with all these concerns around tariffs and the economy and uncertainty, I know you mentioned, Harold, I think, kind of trucking leverage lending and so forth. How do you think about C&I lending today as people start to get more concerned? Do you start to take [indiscernible] in anyway or do you increase reserves around small supplement (ph) lending or you can get from what you guys are seeing on the calendar [Technical Difficulty]?
Harold Carpenter: Steve, you kind of broke up there at the end.
Stephen Scouten: Just kind of what you're seeing on the ground as it pertains [Technical Difficulty]
Terry Turner: Steve, I'm not sure if that's you or us, but we're not able to hear your question.
Operator: Steve, your line is coming through clearly. Steve, once again, please restate your question. Thank you. Your next question is coming from Brett Rabatin from Hovde Group. Your line is live.
Brett Rabatin: Hey, guys. Good morning.
Terry Turner: Hi, Brett. How are you doing?
Brett Rabatin: Good. Wanted to ask, if you look at Slide 44 with BHG, the thing that set out to me is just that the 30 day past due trends is really good on the consumer side. And just wanted to see -- I mean, everyone is waiting for the consumer to break. Just wanted to see if that was a function of what you guys consider to be underwriting standards or if there's anything else that's underlying that positive trend for the consumer past due trends for BHG?
Harold Carpenter: Yeah. I think BHG has got -- they're obviously watching where credit trends are headed. Right now, in comparison to the prior two years, they feel pretty excited that they don't see nearly the, kind of, the weakness in their borrower base that they saw two or three years ago. The new accounts that are coming on, they believe are significantly stronger than what they've experienced even pre-COVID. So like, I said, they're pretty excited about where it's going, but they're going to keep keen eye on particularly around, call it, near-term defaults like people that maybe borrow money and six months later, they're past due. So they're going to keep an eye on those kind of credits, which became pretty evident, call it, in the '21 and '22 vintages.
Brett Rabatin: Okay. And I'm kind of surprised no one's asked a question about a pivot. Terry, you always say, you grow through recessions. But in the press release, you talked about being nimble, assuming we did built into a recession, what does nimble mean for Pinnacle in terms of how they're -- how you guys are operating and what strategies you guys might do with the balance sheet or expansion?
Terry Turner: Yeah. I think Brad, honestly, the -- this as well as I do, man. It's a headline of a day. It's up for half a day, down for half a day. I think it's moving in a lot of different directions. And so our approach is just to stay close, try to listen to our clients, know what's going on with them and being responsive to that. I wouldn't want to imply that we've developed a lot of contingency plans where we're going to alter our strategy dramatically or those kinds of things. I think you've watched this over the years. We have tap the brakes a time or two on hiring, we've never stopped it for sure, but we have to have the brakes and slowed the growth, which I think we did two or three years ago. Obviously, the incentive is the big lever that provides the cushion, if revenues don't show up and so forth. Obviously, the revenues and earnings have to show up to pay an incentive. So that always is a big cushion for us. But in all honesty, Harold mentioned, we're studying loan portfolio, trying to make sure we're up speed on how they're being impacted by tariffs and those kinds of things. But at this point, I would not want to indicate that we've started developing contingency plans.
Brett Rabatin: Okay. And then if I can do one last quick one. I was a little surprised you guys started out the year at 100% incentive PAT ratio that you just mentioned, Terry, just given the uncertainty. Just wanted to maybe hear if that was a function of anything in particular.
Harold Carpenter: Brett, no, not really. We think we're pretty much on plan as of the end of the quarter. So hopefully, we can continue that going through the rest of the year and be able to deliver it. But obviously, there's a lot of uncertainties right now that hopefully will play out with some degree of clarity in the second quarter.
Brett Rabatin: Okay. Great. Appreciate all the color guys.
Harold Carpenter: All right. Thanks, Brett.
Operator: Thank you. Your next question is coming from Anthony Elian from JPMorgan. Your line is live.
Anthony Elian: Hi, everyone. Just a follow-up to the previous question on the loan portfolios you're watching. Harold, could you size up for us the trucking portfolio in terms of outstanding balances, just given that may be the most stress right now?
Harold Carpenter: Yeah. I'll throw a number at you, Tony. And if it's not right, I'll give you a buzz back, but I think it's about -- I think transportation is about $700 million. So that would include more than just truckers, but I think it's about $700 million.
Anthony Elian: Okay. Got it. And then my follow-up, just one on loan growth. So outstanding quarter again in the first quarter for loan growth, but that was before the tariffs were fully announced. I know you still expect a strong second quarter for loan growth, but can you just dive a bit deeper anecdotally on what you've heard over the past two weeks from your customers in terms of CapEx, other investments they may be thinking about in their pipeline? And if they're making any adjustments now given the elevated uncertainty around tariffs? Thank you.
Terry Turner: Yeah. Tony, my sense of it is that economic loan demand would be near zero today. I think everybody would put the clutch in and say, boy, I just need to see more variables. I don't think you're going to see people wait out and do a lot of deferred capital expenditures. And I don't think anybody believes that you're going to get the growth in working assets here that requires a lot of financing either. And so again, I think it's everybody is just watching to see how it plays through. So again, if I were dependent in any way on what the economic loan demand is to produce the 8% to 11% loan growth, I'd be really nervous I'd probably be taking that down. But really, that's the reason we spent so much time just talking about, look, we get growth from our new hires and our new hires are getting it because they're consolidating their balances. It's not really dependent upon new loans as much as it is just moving pre-existing loans from where they were to us. And so anyway, I think most people are viewing this to be a time of extreme uncertainty. I had a person told me yesterday, he never remember the time with more uncertainty in it. And so anyway, I think that's going to be the order of the day until we can find a landing spot on tariffs.
Anthony Elian: Right, Terry. And just a follow-up to that. So do you feel like your footprint across the Southeast, which is one of the fastest-growing markets in the country, gives you more insulation relative to other parts of the country in terms of eventually seeing economic loan demand come back and what that could mean for your overall loan growth outlook potentially above the guidance that you have?
Terry Turner: Yeah. I do believe that if you could get certainty, I mean, I do think there is an expectation that you're going to reshore, you're going to have increased manufacturing and so forth. The question is when is that going to get here. But I do believe whenever it shows up, our footprint is extraordinarily advantaged. We have been major end migrator of jobs all over the Southeast and would have an expectation that, that phenomenon is going to continue almost irrespective of total growth. We still have folks that are in the pipeline to relocate businesses to the Southeast in these urban markets and so forth. So anyway, yeah, when we get beyond the uncertainty, my expectation is that we're going to get outside job growth here, which will translate into increased financing opportunities.
Anthony Elian: Thank you.
Operator: Thank you. Your next question is coming from Brian Martin from Janney. Your line is live.
Brian Martin: Hey. Good morning, guys.
Terry Turner: Hey, Brian.
Brian Martin: Hey, Terry. Just wondering if your sense today given hiring appears on track that if going to a new market appears more likely, given kind of the pipelines you have in terms of recruiting or is that again, is that some of the other question maybe reading more into it? It just feels like mentioning it suggests that maybe it's getting more likely as some of these other markets are gaining traction in terms of hiring.
Terry Turner: Yeah. Let me just sort of see if I can clear that up. I wanted to put that in there because -- what is so important to me, as you can tell from our comments, what I need people to understand is, look, we're operating the model that we've been operating for 25 years, which is when we have opportunities to hire good people, we hire them and you ought to have an expectation that we're going to do that and that's what's going to produce the growth. It is the reason that we can produce both reliable, rapid and quality growth is that specific model. And so I think there's likelihood. But if you -- my sentiment about is, it more likely today than it was when we started the year or is it less likely today than when we started the year, I would say neither. It just sort of feels the same to me, but may have made a mistake by calling it out, but I just -- I didn't want to sneak up on somebody. We're going to keep hiring people. A lot of my peers are trying to cut staffs and cut expenses and so forth. And so I just want to be clear, that's not what we're doing. And so that was the point for putting it in there. But I would not want it to indicate that it's more likely or less likely as when we started the year.
Brian Martin: No. Thanks for clearing that, Terry. I understand. And it's been your strategy all along to look at new markets. So totally understand that. Just one other -- two other questions. Just in terms of loan growth, Harold, I think you said construction had opened up a little bit, just in terms of the growth you -- the C&I growth that you put the slide there on has been strong. Would you expect these other buckets to continue or begin to start growing again, contributing to kind of your loan growth outlook for the year, meaning the multifamily, the non-owner occupied and the construction, should we expect to see some growth there in the coming quarters?
Harold Carpenter: Yeah. I think -- and I'll let Terry correct me if I'm wrong here, but we don't think we'll see a meaningful lift from construction volume is probably until the first part of next year. As you know, the projects take about six months to start funding, and we're just now beginning to open that back up. So it will take a little bit before we see volumes from new projects begin to impact our numbers. And until then, we will see current projects continue to fund up. Like I said, we've had a lot of conversations with relationship managers and particularly in construction. They feel pretty good that our construction borrowers that they've already had. They've got the materials in place to go ahead and do those projects and complete those projects and don't really we're not really as concerned about what might be happening with steel or concrete or other raw materials to kind of complete some of these projects. So hopefully, that will pan out like we think it will.
Terry Turner: Brian, I think when Harold mentioned CRE opening up, I think the point he was trying to make. As you know, we've been really trying to reduce our concentration in CRE both construction and the total CRE bucket. And so we are inside the target full construction and we're close on the target for total CRE. The glide path will take us below those targets before they begin to fund up. And so I think to Harold's point, it's probably late this year before that thing begins to be north because of the length of time it takes for a project to launch and get to burn through the equity to get into the bank financing. So anyway, hopefully, that's helpful.
Brian Martin: Yeah. No, perfect. And last one, just modeling, Harold, in terms of the tax rate, how should we think about the tax rate here in the coming quarters?
Harold Carpenter: Yeah. I think the rate in the first quarter is going to be indicative of what we think for the rest of the year. I don't see any significant increases in the tax rate from here on out. I think we're pretty good. I may put 100 basis points in there just to keep it conservative.
Brian Martin: Okay. So around 18% or so seems fair. Okay. I appreciate. Thanks, guys.
Harold Carpenter: Thank you, Brian.
Operator: Thank you. That completes our Q&A session. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.